Operator: Good morning, ladies and gentlemen. Welcome to Gibson Energy's First Quarter 2021 Conference Call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Mr. Mark Chyc-Cies, Vice President, Strategy, Planning and Investor Relations. Mr. Chyc-Cies, please go ahead.
Mark Chyc-Cies: Thank you, operator. Good morning and thank you for joining us on this conference call discussing our first quarter 2021 operational and financial results. On this call this morning from Gibson Energy are Steve Spaulding, President and Chief Executive Officer; and Sean Brown, Chief Financial Officer. Listeners are reminded that today's call refers to non-GAAP measures and forward-looking information. Descriptions and qualifications as such measures and information are set out in our continuous disclosure documents available on SEDAR. Now, I'd like to turn the call over to Steve.
Steve Spaulding: Thanks Mark. Good morning, everyone. And thank you for joining us today. I'm pleased to say that we had a solid start 2021 in terms of our financial results in the first quarter, advancements on the commercial front, and the development of our ESG and sustainability practices, each of which I will speak to in our prepared remarks today. Looking at the first quarter financial results, infrastructure adjusted EBITDA of $109 million was well above our target, but after normalizing some items that Sean will speak to was right at our run rate outlook of $100 million per quarter. While we seem to speak to this each quarter, including every quarter in 2020, it's hard to overstate the resilience of our infrastructure segment. Though our marketing margins have been well below our long term run rate across the last three quarters, our payout ratio 72% remains at the bottom end of our target of 70% to 80%. Also leverage at 3.1 times is at the bottom end of our 3 to 3.5 times target range. Our balance sheet remains very strong, including being fully funded for all capital. Marketing adjusted EBITDA at $3 million came in slightly above our breakeven outlook. So far 2021 is shaping up consistent with our comments on our last earnings call. A challenging environment from 2020 has persisted. However, second quarter marketing conditions are improving and we continue to expect marketing performance to improve through the balance of the year. Marketing outperformance tends to be very lumpy. The few number of events driving a good portion of the year's P&L. As we mentioned on our last call, one area where we've seen a noticeable improvement coming into 2021 is in our commercial discussions. Right at the end of the first quarter, we announced a long term terminal service agreement with Suncor, principal customer at our Edmonton Terminal. The agreement specifies several contracts into one agreement and also extended their aggregate term. The part of the agreement we announced the sanction for the biofuels blending project, which brings us to having sanctioned about two thirds of our capital target of $200 million in capital for this year. This project is ESG positive as it aligns with energy transition. And I really like the 25-year term. The execution of the agreement and the sanctioning of the biofuels project demonstrate a long term need for our Edmonton Terminal by one of the most prominent counterparties in Canadian energy. We're also pleased to say that other commercial discussions continue to advance, on the tankage front, we’re in numerous conversations with customers for tanking to both Edmonton and Hardisty. The key drivers for tankage at Edmonton are to support shippers on TMX, optimize producer netbacks to meet stream requirements and to optimize our customers crude oil between Edmonton and Hardisty without having to physically move that barrel. At Hardisty, we leased out the marketing tank to a third-party. We believe this will turn into a long term lease and we continue to progress talks with numerous customers the storage needs at the Hardisty facility. At the DRU, we have interest from multiple producers and refiners, with the first phase coming into service in less than three months and given it's a new product, customers would like to see how that market develops. We’ve continue to see this as a complicated set of agreements. And our timeline for a second customer remains for late 2021 or early 2022. Shifting to ESG. We took a major step forward during the course, by setting ESG and sustainability targets. A lot of thought into making sure these targets were impactful to Gibson. And they were ambitious, yet achievable. On the emissions front, we believe our carbon footprint is best-in-class in the Canadian midstream space, on both an emissions per dollar revenue basis and per barrel throughput basis. We build on this by reducing our GHG intensity at our facilities by 30% by 2025 and 40% by 2030. We will cut our Scope 2 emissions in half by 2025 and eliminate them entirely by 2030. Importantly, we know how to achieve these targets. Diversity and inclusion is a major focus at Gibson. Today our board is one third women. By 2025, we want to reach at least 40% and at least one member providing racial, ethnic, minority or indigenous representation. Women already comprise 37% of the workforce, and 30% of management. Our target is for women to comprise 43% to 45% of the workforce by 2030 with the milestone of 40% to 42% by 2025. And we want to reach 40% to 45% women in leadership by 2030, with a 2025 goal and 33% to 40%. We already have the programs in place to attract women to Gibson. And to ensure equal representation throughout the recruitment process. We will remain a merit-based organization that will treat all employees fairly. With our very low employee turnover rate, we feel these are ambitious goals. We also have continued to focus on communities in which we operate, we expect to give at least $5 million to community initiatives through 2025, with a minimum of at least a $1 million each year. We also want our employees to engage and get back to our communities. Over the next five years, our goal is to maintain our leadership and employee giving by continuing to average at least 80% participation from our employees. Last target I'd like to mention is on health and safety. In 2020, we launched our mission zero program to focus on safety. We want to be best in class. And that's why our target on the safety front is for us to be the top quartile amongst peers. As you know, one of our overarching goals is to remain a leader in sustainability and ESG. On the back of our targets announcement, MSCI increased the rating to AA, which would be the highest rating amongst any of our North American peers, and looking across the broader suite of rating agencies, we are the leader relative to all peers in our industry. Sean will speak to this in greater detail. And a couple of weeks ago, we became the first public energy company in North America to transition our principal, credit facility to a sustainability linked structure. By integrating our credit facility and capital structure with our ESG targets, this demonstrates a clear commitment to achieving these goals. We believe our progress on ESG and sustainability demonstrates our ability to deliver a meaningful way when we make something a strategic priority. It was only a year ago, when we released our first sustainability report. And we're somewhat proud of how far we've come. At the same time, we're also very humbled by the journey that is still in front of us. To remain a leader, we're going to have to continue to push hard going forward. Again, we feel we had a very strong start to 2021. We delivered financial results in line with our expectations and advanced on commercial and ESG initiative. Just as important, is that we remain very well positioned going forward. Our infrastructure business remained solid, its that $100 million per quarter run rate, and we’ll increase again, when we put the DRU in service in the coming months. We feel very comfortable in our ability to deploy $150 million to $200 million per year without sacrificing returns. We just completed a comprehensive look back and with roughly $1 billion in capital we've deployed over the last few years, we've certainly been at that 5x to 7x EBITDA build multiple. Marketing conditions are improving. And we continue to expect marketing performance to improve to the balance of the year. And our balance sheet is very strong and we're fully funded, and our dividend remains very well underpinned by our stable long term infrastructure cash flows. We will remain conservative in our approach to our business. I will now pass the call over to Sean, who will walk us through our financial results in more detail. Sean?
Sean Brown: Thanks, Steve. Before I jump into the results, I wanted to quickly speak to the improvements we made to the presentation of our financial results this quarter. There's more detail available in the press release, MD&A and supplementary materials, including presentation of prior quarters, though I would characterize the changes as straightforward and intuitive in terms of how most would look at our business. As we alluded to on our last call, the key change is that we're going to focus on a single metric for marketing, adjusted EBITDA. We’ll still report segment profit. However, we're not going to focus on the unrealized gains and losses as that's temporal, and it's the realized cash margin that's reflected by adjusted EBITDA that the business is most focused on. For consistency, we're going to mirror that change in the infrastructure side. So the impact is much smaller there. The greatest impact will be that depreciation from our equity accounted investments will not be deducted, nor will adjusted EBITDA be impacted by other non-cash gains or losses that can arise from time-to-time. That makes getting down to consolidated adjusted EBITDA far more straightforward, as it will simply be infrastructure adjusted EBITDA, plus marketing adjusted EBITDA, less G&A. I would stress that there will be no change to DCF, as we'll still look to report a fully burdened cash flow for the period after maintenance capital, but before payment of dividend, investment or growth capital. With that, under the results, as Steve mentioned, we had a solid start to the year from a financial perspective. Infrastructure adjusted EBITDA of $109 million, was very much in line with our $100 million run rate outlook after normalizing for the reversal of an accrual made in a prior period and other smaller non-recurring items. This was the first quarter in which we had a full contribution from the three tanks placed into service in the fourth quarter at the top of the hill, which was the largest driver of the sequential increase. Marketing adjusted EBITDA of $3 million, was slightly above our breakeven outlook. As Steve mentioned, the quarter materialized very much as we expected, where opportunities on the crude marketing side were limited, while we continue to build inventories at Moose Jaw. I would remind everyone on the call that to the extent that marketing is not performing at levels that it has historically, it's reflective of the fact that the opportunities that they were able to find, were not sufficient to achieve previous profitability, while still fulfilling the fixed commitments that they have in place, rather than because we made the wrong market calls or took on high risk positions that went sideways. In terms of our outlook for marketing, based on the current environment, including some gradual improvement that we are seeing, we would expect second quarter adjusted EBITDA to be approximately $10 million to $15 million. This expectation would include some of the benefit of our previously discussed strategy to build seasonal inventories. For the full year, our outlook is not changed and we continue to expect an absent and meaningful shift in the environment relatively soon to be at the lower end, or potentially even below our run rate range. As we've always said, we could certainly see a couple of events that get us comfortably back into that range quite quickly. And that's certainly what history has shown us. And that's fine, as we don't rely on marketing to deliver our strategy. Finishing up the discussion of the results, let me quickly work down to distributable cash flow. Interest costs were $13 million, relative to $15 million in the first quarter of 2020. Refinancing our debt over the past 18 months has been a major focus. In total, reducing our run rate interest cost by nearly $25 million per year, and leaving Gibson with by far, the lowest weighted average coupon within our Canadian midsize peer group at just over 3%, while at the same time having the second longest weighted average center. Replacement capital of $2 million in 2021 was below the $6 million in the first quarter of 2020. So we very much expect to be in the $25 million to $30 million range for the full year, especially given some work was deferred last year due to the onset of COVID. Taxes of $9 million this quarter were slightly below the first quarter of 2020, in part due to lower marketing earnings. Also, lease payments were slightly lower in the current quarter relative to the first quarter of last year, as we continue to actively reduce the number of leased rail cars in our marketing segment. And on a trailing 12 month basis, rolling off a stronger quarter, with the first quarter of 2020 having been $22 million higher than the first quarter of 2021 due to weaker contribution for marketing in the current quarter, our payout ratio increased modestly to 72%. But it's still at the bottom end of our 70% to 80% target range. Similarly, our debt to adjusted EBITDA was up slightly to 3.1 times, which remains at the bottom end of our 3 to 3.5 times target. Speaking to our financial position, despite the somewhat bullish sentiment in the markets lately, our approach will continue to be in favor of remaining conservative, including maintaining a fully funded position for all our capital and being proactive and having significant available committed liquidity. At the end of the quarter, we are $118 million drawn on our $750 million credit facility with $56 million of cash on the balance sheet. We also have $115 million of unutilized capacity on our $150 million bilateral demand facilities, implying roughly three quarters of a billion dollars in available liquidity relative to a $200 million capital program, in that sense very much years of running room. In terms of being proactive, which you can see is always our bias. We again extended our credit facility to a full five year term now maturing in April 2026. As Steve mentioned, we are particularly proud to have been the first company not only in our sector in Canada, but across all of North America to move our principal credit facility to sustainably linked terms. From a finance perspective, this will in no way limit our access to capital, that we very much like that our interest rate will move up or down with our performance on our ESG linked metrics. In summary, a solid quarter, with a positive bias throughout the balance of the year. Results from the infrastructure segment, we're dead on target. And we look forward to that run rate increasing with a partial contribution for the DRU in the third quarter. In the marketing segment, the environment remains challenging, but it's slowly improving. And perhaps most importantly, we very much believe that our business continues to offer a strong total return proposition to investors, with visibility to continued high quality investment opportunities in our infrastructure segment, resulting in attractive distributable cash flow per share growth, which supports a meaningful, growing dividend, all while maintaining a very strong balance sheet and financial position. At this point, I will turn the call over to the operator to open it up for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] First question comes from Jeremy Tonet at JPMorgan. Please go ahead.
Jeremy Tonet: Hi, good morning.
Steve Spaulding: Good morning, Jeremy.
Jeremy Tonet: It seems like Gibson's has been quite active on the ESG front as you noted there, just wondering if you could update us I guess, what - the feedback you've gotten in the marketplace and has this kind of enhanced investor conversations or brought new investor interest into the story?
Steve Spaulding: Sean, why don't you take that?
Sean Brown: Yeah, absolutely. Thanks for that, Jeremy. Yeah, no, I would say for sure. I mean, the ESG is certainly a journey for all of us, you know, and quite a bit of progress this last quarter with us announcing our ESG targets and then announcing on the back of that our sustainability linked loan tied to those targets. So certainly, we have - I think the feedback we've gotten is very positive on the ESG progress we've made. You know, you see that through investor meetings, but also through third-party rating agencies. From an incremental capital perspective, we certainly have seen some momentum there. But again, I'd say it's early days in the ESG journey certainly. So, you know, all in all, I'd say, very positive. The momentum, we have on the ESG side, I think we've demonstrated that we are a leader, and we've got a commitment to being a leader, and we are seeing that momentum in investor discussions.
Jeremy Tonet: That's helpful. Thanks. And just wanted to pick up on the biofuels side of things, new announcement there, and just wondering if you could frame for us how deep this opportunity set could be in your mind, or how big is the addressable market that Gibson could serve?
Steve Spaulding: Jeremy, that specific opportunity is with Suncor at our at our Edmonton Terminal. And so I think we made in that - that announcement, you know, when we did the Terminal Services agreement with Suncor in it is a mechanism to spend up to three over $300 million on projects, terminaling projects for Suncor over the next couple of years. So specific to that. And then we're actually starting to really look across our assets and see how and if there are opportunities for that, at our assets, like Moose Jaw, and other assets, where can we get involved in the renewable market, but I would say we were in a very early stages, Jeremy, on that.
Jeremy Tonet: Got it. Got it. That makes sense. Maybe just the last one for me, as it comes to capital allocation, if you could just walk us through a bit more, I guess, you know, how you think about hitting CapEx, if you still expect to kind of hit your target for the next several years? And I guess how would that - you know, and how would that compete for capital versus buybacks or other uses that you might have, such as increasing the dividend?
Steve Spaulding: Sean, why don’t you take that?
Sean Brown: Yep. No, absolutely. I mean, we have been out, Jeremy, as you know, we've got a $200 million capital target this year, with the sanction of the Suncor project this quarter, you know, roughly two thirds or so of that is now fully sanctioned. We still remain confident in our ability to get up and around that 200 this year, and I think in Steve's prepared remarks, either this call or last, we still remain confident in our ability, and even beyond this year, and that sort of $150 million to $200 million per year, as we sit here today. From a capital allocation perspective, really nothing has changed. You know, to the extent that we continue to generate high quality projects that we've shown that we've an ability to do so. To think of those being very similar to the Suncor project, long term contracts with investment grade counterparties at very attractive returns, that is absolutely going to be our priority from a capital allocation perspective. To the extent that we have excess cash flow, that certainly would be the case, if we're spending that $150 million to $200 million in future years, then it really depends on the source of that excess cash flow, if the excess cash flow is predominantly from our infrastructure business, so think ratable cash flows over time, given the contractual nature of the project, backstopping that, then we will continue to favor modest dividend growth over time. To the extent that is predominantly from our marketing business, then we would buy a share buybacks. Steve, anything you want to add on the future capital side or?
Steve Spaulding: You know, I think we're going to talk - we should get a couple of questions really, about how our projects are going at, potential growth at Edmonton Terminal, the DRU. So, you know, those talks continue at Edmonton, those talks continue very consistent to our last call, as far as progressing with counterparties to build out our footprint there at Edmonton. Very positive there, feel comfortable that we will be able to build out our footprint over the next couple of years at Edmonton. On the DRU front, really exactly like our last call, progressing forward, the project itself is again on budget and on schedule, really for, you know, some time during July startup. And I would say, as far as progressing talks with customers, they continue to progress forward. That probably our number one customer opportunity there is looking to see how it operates. And how did these products sale and move into the market and how do they price. And so with that, we feel pretty comfortable that we will execute another DRU agreement whether or not its this year or early next year. But we are feeling - we feel positive in the DRU front, Jeremy.
Jeremy Tonet: That's very helpful. I'll leave it there. Thank you.
Operator: Thank you. The next question comes from Robert Catellier from CIBC Capital Markets. Please go ahead.
Robert Catellier: Hi. Good morning, Rob Catellier from CIBC. I just - first of all, congratulations on that sustainability linked loan. I was just wondering if you could address the potential to self-power throughout renewables. I’ve seen a couple of your peers come out with that type of agreement and what role that might play in your strategies that reduce your Scope 2 emissions?
Steve Spaulding: That is an option, we're actually looking for opportunities in which we can invest in ourselves, potentially even in our US assets, and around our Moose Jaw facility. We have a team set up specifically for building out renewable power opportunities, and potentially, Scope 1 reduction opportunities. So we have a whole team set up now, Robert, to do that. I'd say we're still in the early phases. But I hope - we hope to really have some things going and approved and moving forward by the end of the year, and definitely have some opportunities that we're pretty happy about in the early stages. As far as you know, doing PPAs, that is certainly an option. But we're a midstream company. We'd like to invest our own capital.
Robert Catellier: So just for clarification, Steve, are you talking about being a co-investor or would you be a lead developer in terms of developing renewable projects?
Steve Spaulding: Yeah, that's kind of in our Phase 2, once we determine what project we want to develop, do we have the expertise or should we bring in expertise, but right now we want to - we're in the determination phase, exactly what projects we want to do, Robert, but the partnership opportunity is kind of as we start to really develop out that we’ll determine that.
Robert Catellier: Okay. Another question for me is just on your experience with US marketing, you know, you haven't been at at it all that long. But what the relative contribution you're seeing on the marketing side from US assets and how big enough piece of it grow?
Steve Spaulding: I would say it's very temporal, very small right now. And now it's - you know, our whole conventional pipeline business, both in the States and in Canada is less than 5% of our overall business. We do have marketing around that to drive volumes through it, but that's really on the producer services side. It's not a high margin business. Yeah, I would not say our marketing in the US is going to ever really move the dial. Robert. If we - the marketing there is really just to drive volumes across our assets.
Robert Catellier: Yeah. Sort of holding forth. Thanks.
Operator: The next question comes from Ben Pham at BMO. Please go ahead.
Ben Pham: Hi, thanks. Good morning. My first question is on the quarter, on infrastructure. You mentioned you hit your run rate on EBITDA. Can you comment on the volume sensitive assets that you own are the volumes back to pre-COVID as your initial expectations?
Steve Spaulding: I would say you know, our US assets they're probably above are pre-COVID in the US, I would say our Canadian conventional pipeline assets are still down probably 30%. And last quarter was really a record quarter for Hardisty, as far as moving barrels through Hardisty, a lot of that is, you know, with the additional tankage that went in service in the fourth quarter. So, some of that bump and some in the beat really, you know, the small beat in infrastructure really came from record volumes at Hardisty.
Ben Pham: Okay, great. And I have a couple questions on energy transition and you had a paragraph or not in your package as well. And my question, I I'm curious, you mentioned you're looking at renewables early stage and you've done a good job of diversifying outside of tankage such as the biofuels and DRU. What are your thoughts now, like how broad do you think you can go here? I mean, is this a carbon pipeline storage opportunity for you? Can you move up the stream more in biofuels, like actually getting into the facility itself better than supporting it? What are energy transition opportunity you're looking at right now?
Steve Spaulding: Well, we're going to try to always focus on in and around our assets, and leverage our existing assets. But I would say, you know, just renewable opportunities would be probably the number one potentially with solar opportunities in Saskatchewan and around our Wink terminal. The other opportunities that we may be looking at are potential geothermal opportunities in Saskatchewan, around our Moose Jaw facility to help reduce Scope 1. And then you know, we are not going to shy away from looking at opportunities around Moose Jaw and the energy transition opportunities. What energy transition opportunities, could the Moose Jaw facility be involved in.
Ben Pham: Okay, that's great. Thank you.
Operator: Thank you. The next question comes from Robert Kwan at RBC Capital Markets. Please go ahead.
Robert Kwan: Thank you. Good morning. If I can come back to the commentary Steve gave on the DRU, that you've got a leading party that really just wants to see it up and running. But it sounds like there's some other parties in behind it discussing things with you. Do you see the likelihood of contract signing being paced amongst those parties? With the first party take down all of the next phase? Or is there some tension here about you know, who's going to be able to come in first you?
Steve Spaulding: You know, I would say there's two leading parties, potentially three leading parties, they're looking for that entire value chain there. The big US Gulf Coast refiners, they're certainly interested in what this neat bitumen looks like. And so with that, getting the DRU up and running and getting that neat bitumen in for them to run it, there is be important to find out what the value is for those refineries. And so that, you know, really across really the whole Gulf Coast, there's numerous, you know, the large refiners, they're very interested in what this neat bitumen look like when they try to - when they bring it into their facilities, and run it versus build it. Because you know, you take out that 30% to 40% condensate, and it really has a lot more value to them and how they blend it into the refinery runs.
Robert Kwan: So do you, are you comfortable or just the size that they're looking at, do you think you can accommodate all these potential customers at the same time?
Steve Spaulding: Well, yeah, I mean, you know, it was built to expand up to 250,000 barrels a day. And the reason – only reason we limit to 250,000 barrels a day is that's what the - you know, the three unit trains can move out, and in one day, is about 250,000 of neat feed of gross feed [ph] So we can move out a little over 200,000 barrels a day of neat bitumen. So that kind of limit – so that kind of limits us to that 250,000 barrels a day kind of threshold, we can obviously expand the DRU with further expansions of the unit train facility. Probably when I think of the DUR we are now currently looking at potentially what does it look like to build 100,000 barrels DRU versus a 50, because we think there's significant savings on the capital front if we can build 100,000 barrels a day unit versus 50. You know, of course you have to have the customer to do that.
Robert Kwan: Right, okay. I can just turn to the marketing guidance and specifically Moose Jaw, how is any recovery there factoring into your thoughts on how the year is shaping up and specifically the economically sensitive parts of the business, the cyclical products, as well as roofing flux, just given what we’re seeing housing starts?
Steve Spaulding: Well, it was certainly good to not saying - given our forecast at or near zero, so we're pretty excited about that. So we think we've kind of turned the corner now on that $10 million to $15 million. I would say roofing flux is red hot right now, because it's kind of part of the building industry in the - you know, across North America, and so roofing flux margins are really as high as - you know, as high as we've seen. Generally, roofing flux doesn't trade as a premium as road asphalt. And, you know, the road asphalt season is just really kind of started up. I know, in the States, you know, the infrastructure project, the infrastructure spending, the Biden's is moved forward with some of that does include kind of repaving you know, federal highways, and that would definitely be a boost to the asphalt business and asphalt margins across North America. And similarly, you know, infrastructure - if Canadian move - Canada moves forward with major infrastructure spending, we could see higher asphalt margins than we've seen in the past. I would say, you know, one of the things we are starting to see is improvement in our drilling fluids margins. So the third quarter right now, definitely appears to be back in our normal range. When we look at our third quarter we feel that the third quarter, will be back to kind of normal range that we we've seen in the past.
Robert Kwan: That’s great. If I can just finished the question on ESG. Clearly, it's an emphasis for you, you've addressed the financial side of the credit facility, and highlighting your targets and work on the ESG front. But at a minimum, at least optics wise, assets are pretty heavily geared to crude oil related infrastructure. Economically, you've got the visible runway for oil sands demand, that gives you that pace. But this is part of the transition, do you see it being more gradual, and capitalizing on your footprint as it comes to you like the biofuels lending infrastructure? Or do you see opportunities more quickly transition your footprints? And if so, what types of new platforms are you seeing is most appropriate for the company?
Steve Spaulding: I would say, you know, we've always been pretty conservative in our approach. So you know, I think it's building in and around our assets, how do we fit right? When I think of carbon capture, I mean, we're not a compression business. So that's not a - that's not a expertise that we have. But I would say, looking at other opportunities in and around our assets, to reduce our Scope 2 definitely, you know, some of the projects that we're looking at in the States are actually have good rates of return, which is what we're going to invest in, right. We're not going to just invest money, with no rate of return, we're going to want - we're going to want it to be, you know, to at least hit our cost of capital on or better than our cost of capital on these projects, as far as reduction of Scope one 1 and Scope 2. As far as renewables, we're in the very early stages there. We do like, you know, we are going to look at what we can do around our Moose Jaw asset kind of first, as far as a new set of business lines.
Robert Kwan: Thank you.
Operator: The next question comes from Linda Ezergailis at T.D. Securities. Please go ahead.
Linda Ezergailis: Thank you. I don't want to belabor the point too much, but further to Roberts questions around any ways to kind of accelerate. I'm wondering if tuck-in acquisitions might be an opportunity to both bring potential skills in-house as it relates to your renewable in ESG and energy transition investments in a very - in a slightly accelerated way to get to also, you know, migrate from development to actual execution in the later stages. What are the thoughts around the possibilities around that?
Steve Spaulding: You know, again, we're in a very early stages developing the strategy, but that would definitely put the part, you know, one of the segments of the strategy that we would review. As far as - if opportunities come up that we feel fit that strategy, we would definitely review them, Linda. Yeah, I, you know, we've always been a little leery of M&A. But when you can do something that actually kind of step changes you as far as your organizational capability, we can see a strategy around that.
Linda Ezergailis: Thank you. And with all the change going on in the industry, I'm just wondering how we might think of any sort of structural changes potentially in the industry that might shift the run rate of marketing contributions over time, either up or down, as it relates to the, you know, I guess, growing supply of biofuels over time, versus maybe even narrowing some locational differentials if your DRU expand significantly, for example?
Steve Spaulding: You know, years ago, when we laid out that 60 to 80, and then, you know, we were performing at much higher rates, when the markets got dislocated. We always said, Linda, that, really, these were temporal and think of 60 to 80 is our long term run rate. And I think we're still in that boat. Now, obviously, there are things that that do impact it. As far as feedstock pricing to Moose Jaw, the WCS to WTI has an impact on that. So if that margin widens, or narrows, that increases or decreases the feedstock price to Moose Jaw, that probably one of the bigger levers. You know, and then obviously, structural changes, that's probably the one major long term structural change that impacts our business. And again, that that floats anywhere from $8 to $24 depending on the time of the year, and what's going on with the reliability the pipelines, leaving the basin.
Sean Brown: Hey, Steve, just to clarify, I think had you said exceeded 80 there, so just want to clarify that…
Steve Spaulding: 80 to 120. I'm sorry.
Sean Brown: Yeah. Sorry. I just wanted to make sure we verified that.
Linda Ezergailis: Thank you. And maybe another just follow up question. I'm wondering if we're hearing that there's some, you know, supply chain disruptions, some bigger than others, and that there's inflationary pressures coming. I'm wondering how you're thinking about, or whether you're starting to see that in your capital budgets or operating budgets and how that might be mitigated by your cost savings. There's some puts and takes including kind of how your cost structure might shift as you reopen into a new normal eventually, this year?
Steve Spaulding: Yeah, that's a great question, Linda. You know, steel is probably the main thing that would impact that steel price. I don't know that labor in Canada is on a major ramp up. But I think steel prices would probably be the biggest issue. And I don't know that, you know, my SVP of Engineering and ops has really pointed that out as a major concern yet, but that would - that could potentially increase , some of our capital. But I wouldn't say substantially. I would, you know, potentially, you know, a 5% or a 10% increase in our capital. But that's not a major driver, and it's something that all our competitors would have to, so it would be reflected in the market price of our offer.
Linda Ezergailis: Thank you. That's very helpful. I’ll jump in the queue.
Operator: The next question comes from Patrick Kenny at National Bank Financial. Please go ahead.
Patrick Kenny: Yeah. Good morning, guys. Just on the DRU and I guess specific CP, potentially extending the reach of their network? Curious to hear your thoughts as to whether or not they are successful in their bid for Kansas City Southern, whether or not that might impact the customers willingness to commit to the next DRU phase, just in that, given how tight differentials are, saving a buck or two on transportation to the Gulf Coast could actually make the difference?
Steve Spaulding: You know, it's hard for me to weigh in on that. But other than that, I know that, obviously CP and Kansas City Southern were major partners and getting the DRU you across the finish line. And our – we’re - them working together was instrumental to, you know, the ConocoPhillips transaction. And that's probably what kind of drove that thinking, I don't know, you'd have to talk to the CEOs of those two companies. But definitely you always see synergies when one company can operate this, and I know that this is a high profile project, really for both of those rail companies into the future. We'll see, right. I know, Kansas City Southern is the delivery point that we used to - that ConocoPhillips used to deliver down into Port Arthur. So I don't know, this is interesting to watch.
Patrick Kenny: Absolutely. Thanks for that. And then just maybe to circle back on the conversation around, you know, looking at capital allocation more through an ESG lens, or, at least in parallel to financial metrics, which is given, you're still very much in the early innings with respect to building out your US footprint, while at the same time biofuels and your renewables opportunities are still very much in the early stages. So just curious if the US strategy has been bumped down the priority list from a capital allocation standpoint? Or do you see the US opportunities, competing head on with some of these emerging ESG opportunities north of the border?
Steve Spaulding: You know, I don't think it's a capital allocation issue. I think it's just a capital opportunity issue in the US versus some of the opportunities that we have in Canada. Separately, we don't have a limited amount of capital. We just really have a limited amount of opportunities right now in the US. I don’t know, Sean would you have any extra feedback on that?
Sean Brown: No, I think that's absolutely right, Steve, I mean, as you would have seen, Pat, I mean, certainly the ability to fund, you know, 300 or more capital as the business continues to grow. So as Steve notes, it's not necessarily one or the other, it's just remaining disciplined as we allocate capital to ensure that it remains on strategy and that it achieves the investment characteristics that we typically have in around returns counterparties and contract line.
Patrick Kenny: Okay, that's great. And maybe last cleanup question here, guys. I think he touched on it, but just on the $10 million to $15 million guidance for Q2 marketing. Looks like for differentials are still very much in the $11 to $12 range. Break up, obviously, you're in Q2, So pipeline egress should remain more than sufficient. So that the $10 million pickup over Q1 is mainly asphalt sales at Moose Jaw coming into the P&L, or are you seeing other factors driving the more normalized outlook?
Steve Spaulding: I would say the majority of it is really kind of the improvement in the margins, which is the sales side of the margins are product demand for Moose Jaw, which is really kind of all the products at. But you know, asphalt, it's going to start to pick up, we're going to start to move some asphalt out of inventory. And then you know, roofing flux margins are strong. So we have demand, you know, our demand for those products is definitely picking up in the second quarter. And we're moving some of that out of inventory. But you're right. I mean, the feedstock is still going to be relatively expensive at that $12 margin.
Patrick Kenny: Compared to the history…
Steve Spaulding: Yeah.
Operator: Thank you. The next question comes from Andrew Kuske at Credit Suisse. Please go ahead.
Andrew Kuske: Thanks. Good morning. I guess looking back last year, and obviously it's very challenging year, but you managed to build your core infrastructure business in a pretty resilient fashion. And so where you stand now, and Steve, I think you mentioned volumes, at Hardisty sort of down 30% from peak. Are you an interesting situation where you've got a lot of interest on the DRU expansion, you've got volumes that, you know, should return to normal and potentially grow from there at Hardisty. So do you think about building preemptively at Hardisty to get ahead of competition and to better position yourself given the attractive build multiples that you have?
Steve Spaulding: No, that - I mean we've never did the field of dreams there in Hardisty. So we really want to have a customer, if we're going to build a tank, we didn't build a tank for a marketing organization. Because they, you know, our marketing organization felt they needed a tank to really maximize their opportunities. We subsequently after we placed in service did find a really our core infrastructure, a core producer in Canada who wanted that tank. And so we did move it over to that core producer. We believe that'll become a long term agreement. I would say, maybe we felt like 25% we'd lost maybe, maybe we lost 25% of the volume at Hardisty for one month, and it bounced right back. And most of the quarter we moved 1.1 million barrels a day across the facility, which is almost 100,000 barrels a day higher than, you know any really previous quarter. So we're starting to see you know, a lot of volume move across it. And that's with limited rail movement out on HURC. So, we’re seeing a lot of activity across our terminal. But you know, I do not see us building spec tanks at Hardisty. We definitely have the ability to be extremely capital efficient, and building another 1.5 million barrels of tankage at Hardisty, which is building out the rest of our top of the hill project. And so, you know, as I've explained many times, we always say that five to seven times multiple on building these tankage. But when we're building out the final phases of these platforms, that are - we can be very competitive on a per barrel basis. So we feel that if tankage needs to be built, it would be difficult really for any of the other operators to build that tankage as cost effective as we can.
Andrew Kuske: That's, that's very helpful and a great clarification. And then you mentioned about renewable potential at Moose Jaw, but do you see any kind of renewable potential in particular solar, at Hardisty, and perhaps at the in field [ph] at HURC?
Steve Spaulding: You always want to put it in the very best sun, right? So you know, our best sun, our best, our best spot as far as we own property in Canada, our best spot – our is best is Moose Jaw. And kind of in the plans of Saskatchewan there. But put it in perspective, it's, you know the top 90 something percent of Canada, right, as far as solar goes. But if you compare that to Wink it's only produces, its only 75% of the solar power that's available at Wink. So we'll look - we'll definitely going to look at solar opportunities. But potentially, there at Moose Jaw there might be a geothermal opportunity that may be better than a solar opportunity for us.
Andrew Kuske: That's very helpful. Thank you.
Operator: Thank you. There are no further questions. I would now like to hand the call back to Mark.
Mark Chyc-Cies: Thank you for joining us for our 2021 first quarter conference call. Again, I'd like to note that we have made certain information available on our website gibsonenergy.com. If you have any further questions, please do reach out to us at investor.relations at gibsonenergy.com. Lastly, I'd like to also remind everyone that we will be holding our virtual annual general meeting later today at 10 AM Mountain Time. Details are also available on our website. And participants are encouraged to register for the live audio broadcast at least 10 minutes prior to the presentation start time. I hope you're able to join us. So thanks for joining our call and thank you for your continued support of Gibson Energy. Have a great day. Bye.
Operator: Ladies and gentlemen, this concludes our conference call for today. We thank you for participating and we ask that you please disconnect your lines.